Operator: Good morning, ladies and gentlemen, and welcome to Galp's Fourth Quarter and Full Year 2025 Results Presentation. I will now pass the floor to Joao Goncalves Pereira, Head of Investor Relations.
Joao Pereira: Good morning, everyone, and welcome to Galp's Fourth Quarter and Full Year 2025 Q&A session. In the room with me, I have both our co-CEOs, Maria Joao Carioca and Joao Marques da Silva as well as the full executive team. But before passing the mic for some quick opening remarks, let me start with our usual disclaimer. During today's session, we will be making forward-looking statements that are based on our current estimates. Actual results could differ due to the factors outlined in our cautionary statement within the published materials. With this, Joao, would you like to say a few words?
Joao Diogo da Silva: Thank you. Thank you, Joao, and good morning, everyone. Let me start by acknowledging the rapidly evolving and deeply concerning conflict in the Middle East, which is increasing geopolitical risk across the globe. The escalation, including strikes on critical infrastructure and threats to vital shipping routes has materially increased uncertainty in global energy markets and the broader macro environment, reinforcing the need for resilience and discipline. Despite this increased volatility and looking back at 2025, it was a remarkable year for Galp, marked by consistent strong operational performance and disciplined project execution. Allow me to highlight a couple of key points. Starting with Brazil, where production reached in average 111,000 barrels per day, above 2024 levels with high fleet availabilities and strong resiliency of our main reservoirs. On top of that, Bacalhau reached first oil and is showing high productivities as we ramp up the unit throughout the year. In Sines, our low-carbon projects are advancing as planned, and we expect to start commissioning the plants by the end of the year. Midstream and commercial had very supportive strong performances in 2025, resulting in a robust group operational cash flow of EUR 2.2 billion higher year-on-year, even under a more depressed macro scenario and allowing Galp to maintain a strong financial position. Finally, we've communicated meaningful portfolio evolutions, reinforcing Galp investment case. Earlier this year, we've announced our intentions to merge our downstream activities with Moeve. We see this as an opportunity to unlock greater scale, resilience and returns in mature and transforming industries, while sharpening Galp's focus and free cash profile. We are working towards the final agreement by mid-2026. Maria Joao, I'll pass it to you.
Maria Joao Carioca: Thank you, Joao. Good morning, everyone. Let me just add a few initial remarks on Galp's short-term outlook. Even as the current geopolitical situation evolves and admittedly continues to generate tension and uncertainty certainly for energy markets worldwide. Galp's operations are very much Atlantic centered, and we have been monitoring these developments and already taking action to reroute our equity oil shipments. So therefore, we're not really facing any material direct impact at this point. Nonetheless, and Joao well put it, volatility uncertainty are notably high. And as such, it will be fundamental to sustain our clear focus on operational performance and disciplined financial management. So now looking at Galp's case and also in light of the significant portfolio evolutions that Joao just discussed, which we expect to unfold during the year, we are limiting our guidance only to 2026, and we'll be looking to better update the market on new strategic guidelines once we have more visibility. Overall, we continue to see a strong operational momentum going forward, and our guidance is very much reflective of that. Driven by Bacalhau ramp-up, production is expected to increase at least 15% to a range of 125,000 to 130,000 barrels. Together with sustained industrial and midstream EBITDA contribution of above EUR 700 million and a still strong commercial of above EUR 350 million, we aim to deliver above EUR 2.6 billion EBITDA and an OCF of over EUR 2.0 billion. Now keep in mind that this is, of course, assuming a much weaker macro deck year-on-year. We're assuming Brent at $60 and a dollar-to-year exchange rate of 1.18. If we were to assume 2025 macro, OCF would actually be expected to surpass EUR 2.6 billion, clearly reflective of our portfolio growth. Organic CapEx is expected at around EUR 1 billion with Bacalhau CapEx ramping down, but including activities from Namibia. More precisely, we're expecting one well in 2026 and the possible FID of Venus around midyear. We have strong alignment with Total on the next steps for Mopane and the upcoming exploration appraisal campaign is key to unlock further potential in the Southeast region and ideally to better converge on the development concept for the asset. Finally, we are maintaining our distribution guidelines intact for 2026. So on top of the EUR 0.64 dividend per share that we will be submitting to the AGM in May, we will launch tomorrow a EUR 250 million share buyback to be executed throughout the year. This is sustained year-on-year even under a clearly more challenging macro context that we have been planning for. Operator, we may now take questions. Thank you.
Operator: [Operator Instructions] We will now go to the first question, and the question comes from the line of Matt Smith from Bank of America.
Matthew Smith: And the first one would be around the potential Mopane development. I mean Total talked to some quite impressive numbers in terms of production rates, recovery rates for potential FPSO there. I guess my specific question was, would it be right to presume that, that would be a development which extracts from both the Northwest and Southeast regions? Or is this potentially just focused on one of those regions, please? That would be the first. And then the second was following up on comments that were in your video transcript talking about adding further depth to the upstream funnel. Just wondered if I could dig into those comments a bit more. Does that expand beyond Namibia, I suppose Mopane and Venus are already in the upstream funnel. Any further color you could give there would be interesting.
Maria Joao Carioca: Thank you, Matt. So on the comments on Namibia, I think we've been very clear and try to guide on where we see Namibia standing and the work that remains to be done. So Total's comments are very much aligned with our expectations. I believe you have registered 800 about 1.1 million barrels. So that is what we are looking to now go in and narrow. Now we did see first the Northwest and then we spoke about the more Southeast regions of Mopane as 2 potential regions. The work we have now to be done is very much in trying to narrow down what could be a concept and get full alignment on what can be the wells' locations, the drilling plan, the full complex. So it's still too soon to discuss the development concept. We understand that Total is very much aligned with us and has a vision for the region, which is a very positive one. they've actually put out there the number that we are aligned with, which is approximately 200,000 barrels FPSO, which is a sizable one. But it's clearly something to be developed on how to best articulate these regions and how to best make sure that the development concept is the one that is most value accretive for the region. No specific guidance any further than this at this stage. On the upstream funnel, so indeed -- and again, I think we've been talking very much about there is indeed some CapEx cushion in our numbers. We've always guided for net CapEx precisely because over the past few years, we have been using our CapEx flexibility as a way to manage the portfolio and as a way to make sure that our financial discipline is put in place and that we drive value out of that. On upstream, we are indeed looking to -- it is our growth engine. We are indeed looking to -- even though we now have a much clearer line of sight into growth going forward, we are obviously very focused on maintaining that line of sight into growth and into maintaining that ability of upstream to deliver steady growth at an adequately derisked profile. We are very much aware of our core preferences. So we remain Atlantic Basin. We remain focused in circumstances where we can have a presence with a partner that provides us a solid back into whichever geography we're in. We have had very good experiences with deepwater. So again, the notion is looking into those preferences of ours, but acknowledging that the funnel of available opportunities are out there is always going to have limited options. We will, of course, continue to add to our profile. I'll remind you that we've just added Venus to the profile. That will be a natural follow-up to our Bacalhau. It will also then be in tandem and in sequence with Mopane final delivery. So it's this smooth growth curve that we're looking for and looking for opportunities and that we hope we will be able to bring to the funnel.
Matthew Smith: So if I could just follow up on that. Is there a preference to add into the funnel through the drill bit or inorganically?
Maria Joao Carioca: I'll just retain the notion of managing the funnel with flexibility, but a very clear idea of the type of assets we would like to deliver or to have options on and certainly, a very clear focus on a growth profile that remains highly visible and very, very transparent. So we would like assets that fit into the portfolio in a way that speaks to the current investment case.
Operator: Your next question today comes from the line of Alejandro Vigil from Santander.
Alejandro Vigil: Congratulations for the results. One first question will be about the capital intensity of Galp. I know it's difficult, many moving parts, the Moeve transaction. But if this EUR 1 billion of organic CapEx guidance you provided for '26 could be a good reference for future level of CapEx intensity. That will be the first one. And the second one is about the Moeve transaction. Probably you have advanced in terms of discussions with regulators. And just if you can see any obstacles for the transaction or you see a potentially smooth combination of both companies?
Maria Joao Carioca: Alejandro, let me start with a bit on CapEx intensity, and then I'll ask Joao to comment on Moeve. So we are guiding for organic CapEx at EUR 1 billion. I think that's what we were alluding to, and that is very much in line with our run rate and what we already saw in 2025. So this, of course, speaks to our continued upstream focus. So upstream continues to be approximately over 40% of where we see our organic CapEx spend. I've already commented to some extent on what we're seeing our net CapEx, and that is, of course, a maintained guidance with a little bit of cushion for flexibility and a bit of headroom. So other than that, it's a very familiar move. So we continue to have relatively light maintenance CapEx. Upstream is still delivering within the framework that this light CapEx provides us. So it's still operating at very low operating costs and with breakevens that in this current circumstances are particularly beneficial. So we're talking about approximately $20 upstream breakevens. So all in all, it's very much focused on light maintenance, both in upstream and also, of course, there's a few remaining elements in downstream, but fundamentally keeping flexibility and making sure that the bulk of our CapEx still addresses growth opportunities.
Joao Diogo da Silva: Alejandro, thanks for the question. So it's -- well, it's an ongoing process. We didn't reach yet the authorization moment. So we are expecting to have a final agreement mid-2026. Both parties agreed on preliminary deal guidelines, and we are still discussing further in-depth details and structure. So for now, no authorization process has started, and we are expecting authorizations from the standard authorities. For instance, foreign investment and competition approvals should be required, but not at this stage, only later on. Thank you.
Operator: Our next question today comes from the line of Josh Stone from UBS.
Joshua Eliot Stone: A question on the renewables business, the guide you've given is quite like cautious, the capacity buildup perhaps happening a bit slower than you might have first expected. You've been quite creative or you're looking like quite creative on the downstream business by merging assets and taking them off the balance sheet. So might you consider something similar for your renewables business? Does it still make sense for these assets to be fully consolidated? So that's the first one. Second one, on the Moeve merger, and I appreciate some insight on the timing. How soon after finalizing an agreement could a deal be completed, do you think?
Joao Diogo da Silva: So on the renewables guidance, as we've been telling you guys, renewables keeps us in a position that will allow us to have the optionality. And in terms of strategic positioning, it's -- we like those assets and decarbonization angle that they allow us. So today, as per today, of course, we are looking into the market. We are active and open to partnerships and portfolio optimization. But still, we are very much focused also on optimizing our portfolio. So we are looking into the hybridization and storage projects. We're aiming to reduce risk and increase the return from our assets. So that's where we stand today. On the consolidation, can you repeat your question because I understood it was on the Moeve side. We -- can you repeat that one?
Joshua Eliot Stone: Just if the renewables business should still be fully consolidated, if actually there could be an opportunity to maybe partially sell it or take it and treat it more like an associate business if that might make more sense? I'm just curious as your thoughts there.
Joao Diogo da Silva: So we will be continuing to assess if we should be the only and only owners of the assets, but no more considerations at this point. Thank you.
Operator: Your next question comes from the line of Guilherme Levy from Morgan Stanley.
Guilherme Levy: The first one, just going back to the Moeve discussions. Could you perhaps just provide us with some color around synergies, even if from a qualitative macro standpoint without providing numbers, that would be great. And then secondly, going back to exploration, Shell earlier this year drilled an unsuccessful well in Sao Tome. And I was keen to pick your brain in terms of the structures that you are planning to target in the well that is scheduled to be drilled next year there.
Joao Diogo da Silva: Thank you, Guilherme. Allow me just to go back to Josh because I thought I skipped one. Josh was asking about the final decision, it should be mid-2026. That's when we are expecting to reach a final agreement. On your question, Guilherme, and namely on the synergy side. So clearly, that's a point that we need to focus to unlock. We see our assets, both Galp and Moeve together as very complementary. If we look at on the logistics, supply chains, overall, the assets that we are combining on the industrial side, we see a lot of efficiencies and complementary on those. Also on the retail side, of course, we are building a larger scale retail network. And by doing that, we will be benefiting from both strong brands on both territories, and that for sure will allow us to increase the value that we can extract from the assets. We will have, for sure, higher trading firepower. We will have, for sure, turnaround efficiencies. So altogether, we should be ready to materialize on the first year of closing. And if you look at overall studies, you should see that at least 10% combined synergies should be a target for the deal. Thank you.
Maria Joao Carioca: Let me address the Sao Tome question. So Guilherme, we are indeed looking at what's happening in the basin. As you know, it's indeed a very, very young basin. We are taking in some of the information that we're sharing with the other operators and you mentioned Shell. But we are incorporating all of that into our models and into our thinking about a lot. We have in mind a well for 2027, but that is the topic in our time line. So if you recall back when drilled Falcao was a well that confirmed the existence of a petroleum system. So now it is particularly relevant that we take on the next steps to make sure that the information we gather adds and gives consistency to that petroleum system as we see it. But for now, what we're looking at is a well in 2027, and that gives us some time to incorporate the information we're gathering from other players in the basin.
Operator: Your next question today comes from the line of Matt Lofting from JPMorgan.
Matthew Lofting: I'll ask 2. Just on Namibia, if you zoom out a bit relative to earlier comments, there's probably a sense that Galp's new partner in the country and the industry as a whole is sort of gaining greater confidence in the basin and the confidence of positively trending above the ground as well as what you're seeing below the ground. I just wonder how Galp sort of sees that in terms of next steps and moving forward, not sort of 2026 solely, but beyond that as well on a medium-term basis? And then secondly, I just wanted to ask you about Brazil and life after Bacalhau to a certain extent, sort of seems like that asset is ramping up very well. How do you see sort of next steps in Brazil on a medium-term basis for Galp when you think about things like enhancing recovery factors and future exploration opportunities in the presold?
Maria Joao Carioca: Thank you, Matt. So let me start with Namibia. So indeed, I think we've been consistently vocal about the fact that this is an asset that we'd like. We retained 40% precisely because we wanted to make sure that we got a solution for the asset that enabled a development at pace that spoke to what we saw in the asset. It required significant derisking as we were addressing it back in '24, '25. But the perspective was always one of derisking and finding a way forward. So I think that's what we certainly got with the partnership with Total. We commented on the fact that the partner we were looking for would precisely be a partner with an aligned vision on the asset, the expertise, the experience in Total's case, the presence in the basin to complement the information. So it is now particularly rewarding to start seeing some of the appraisals to come along the same lines as we had foreseen them, and we were putting them to consideration by potential partners. So moving forward, yes, we're clearly very much focused on next steps. So we are expecting completion of the deal with Total by midyear. Of course, if there's any advancement to that, we will be delivering on that. And I think the conversations with local authorities have continued, have been -- there's progress being made. I think interests are very well aligned, and this is very, very relevant. So I think towards that good pace of completion, there's also the element that the preemption rights that were the normal ones within the existing assets. Those were not exercised. So the deadline is over, and that's one of the elements that is -- if you like, there's a tick box or a box that's been ticked, and we can move forward on that aspect. Other than that, you know that the terms of the deal included additional E&A, and this is very much to address the point that I spoke of earlier to make sure that the development concept is matured and is the one that best addresses the specific characteristics of the asset. So it's a 3-well campaign, as you well know. And we are expecting to have the first well of that campaign by the second half of 2026. It's ongoing work. We're assessing currently rig opportunities, and we're also linking this back to one of the elements of the deal that we found we had a particularly good fit with our portfolio, the Venus asset. So there as well, progress is being made. The FEED works have been finalized. We're expecting FID. So I think all in all, what we're seeing is that Namibia is indeed a rather promising basin. I think we're now in a good spot to work together with Namibian authorities and with our partner to push and to drive that growth forward. Short-term next steps are very clear. We're working on completion, but we're also already moving ahead with making sure that we can engage in an E&A and that we drive that at a pace as we would like to. So rather good feeling both in terms of the ability to move forward and also the ability to do so in a way that is collaborative with local authorities and that grants us the conditions and the best possible approach towards the asset. On Bacalhau, and I think it's -- these 2 are actually a segue, a natural segue. Our experience in Brazil has also been one of being together with partners that can push forward the development of relevant assets. So Bacalhau is the latest of that string of assets that we've had access to and that we've been working together with the respective operators to push forward. A lot of the work we're doing in Brazil other than the ramping up of Bacalhau has indeed to do with making sure that we sustain what we consider to be reference practices in terms of being able to continue to deliver and continue to sustain production in those assets. So I think the hallmark of that type of work right now is the 2P Myvalor set of initiatives. It's approximately -- I believe it's in the neighborhood of 40 initiatives. And I think those have been pushing our assets to continue to deliver at what have been already performances that are very solid in the market in terms of Sundown's performances. We're working very closely with Petrobras. This is all about making sure that value is delivered in those fields. The fields themselves continue to demonstrate amazing resilience and amazing ability to sustain solid output. So it's all about making sure that asset integrity, that maintenance schedules that this set of initiatives is put together to sustain this growth, not just in the very short term, but also well into the near-term production and elongate our plateaus in these assets. Brazil also has additional resources. You've heard us talk about the Pulatos. This is a very different stage basin. This is one still to be derisked. But again, it speaks to our upstream portfolio having a sequence of assets in different stages of derisking and in different stages of maturity, but one where we continue to elongate the time line to deliver steady production and to continue to develop the growth element of our portfolio.
Operator: [Operator Instructions] And our next question today comes from the line of Nash Cui from Barclays.
Naisheng Cui: Can I ask 2 questions, please, on downstream. The first one is on refining margin. I wonder if you can give a bit of color on the short-term refining margin, please? And what is your quarter-to-date and spot refining margin, if you don't mind disclosing. And the second question is more on your low carbon portfolio. You are spending 35% of your CapEx on low carbon projects. I wonder, given some of the recent debate on carbon on ETS and some of your peers have cut their low carbon ambition. Does that change any of your kind of medium- to long-term view on low carbon and some of the assumptions there?
Joao Diogo da Silva: So on your first question on refining margins, what we can tell you is that currently, we are trading on the double-digit mark. So that's where we are at this point, very focused on efficiency and asset reliability, overcoming a couple of weeks harsh in terms of weather conditions. So that's where we are focusing ourselves. On the CapEx spending, so that's your second question. We are clearly focused on delivering the 2 main projects in Sines. We should be ending 2026 with the commissioning. So both on the green hydrogen project, 100 megawatts. Basically, we have all the stacks inside at this point, very committed to deliver, but also on the HVO, around 60% to 65% of the CapEx is already committed, and it fits really well within our portfolio. So we are not expecting any further decisions. We spend around 35% of our CapEx in low-carbon projects. And let me add that on the longer term, we need to -- when we will be able to close if we close the transaction with Moeve, of course, we need to see it as a whole asset base together the 3 refineries with the petrochemicals, with the green molecules. That's where we need to be looking at after mid-2026.
Operator: Your next question comes from the line of Mark Wilson from Jefferies.
Mark Wilson: I'd like to ask my first question on Mopane and PEL83. Excellent to see the FPSO development scenario there. I was just wondering, your slides show the potential field extension ending at the southern limit of the license. So my question is that the drilling in the Southeast obviously looks to confirm or even add to volumes. But is there a secondary reason for drilling down there to appraise in case there's a unitization discussion needed with the licenses to the South. So that would be my first question. And the second one then, your outlook on refining based on a $5.5 margin, you just spoke to double digits. Could I ask on your view to the impact of the current conflict specific to Galp's refining outlook?
Maria Joao Carioca: Thank you, Mark. So you're well ahead into eventual unitization issues. We do not see those at this moment as being sufficiently -- as being relevant or being a topic. Our concern right now is very much about making sure that we got a development concept that best encompasses the characteristics that we see in the assets. So you saw us looking first into the Northwest, and we got into the Southeast, and we saw really good characteristics there. And I think overall, it's an oilier setup and everything else, permeabilities, porosities, pressures, all of those made us look further into the Southeast region. But I would remind you that we had -- we drilled one well there, right? So it's really small data sets to really drive forward a concept definition, and that's very much what we're looking into. And at this stage, that is clearly the drive, and we don't really see an issue with a Rhino, Azule block being a topic for unitization at this stage.
Joao Diogo da Silva: And Mark, on your second question, indeed, the double digits I've just made reference, that's a short-term today impact from a number of events. We see ourselves as prudent and plans, and we need to look to what can be a medium and long-term scenario. That's why we will be sticking to the $5 to $6 refining margin. That's where we believe the market will be, and that's our guidance.
Operator: Your next question today comes from the line of Ignacio Domenech from JB Capital.
Ignacio Doménech: The first one is on the EUR 155 million tax refund in Spain that the Spanish court recently ruled in favor on Galp side. Just wanted to understand when and how are you planning to account this refund. This is entirely for Galp or if there is any part that should be served with consumers? And then on the -- my second question is on the LNG trading outlook. I just wanted to understand your view for 2026, you're expecting a bit more challenging conditions. And if I may related with the LNG trading and the arbitration with Venture Global, if you have any visibility of the time line and if the recent result with one of your peers in Iberia changes your view on the potential outcome?
Joao Diogo da Silva: So on your first question about [Foreign Language], you know that's, I would say, a special hydrocarbon tax supply in Spain from May 2013 to December 2014. And as you know, it was applied, I would say, unevenly across different regions and autonomous regions. The court decision that you are mentioning should lead Galp to collect these reimbursements and -- well, together with the interest, but still too early to guide you on the exact amount. We surely need to understand the timings, the notional considering the accrued interest, but also the methods to be reimbursed. These taxes for sure, they were paid at the same time. So nothing was provisioned. But indeed, we need to take our time to better understand this decision. On the -- on your second question on the LNG outlook in 2026, we are very much focused on the delivery cargoes from the Venture contract. So everything has been accomplished since the first cargoes delivered. For this year 2026, we are expecting to get full volumes, which means 15 terawatts, about 15 cargoes. And the only thing we can tell you is that we are assuming and expecting narrower gas price spreads. So that's the -- that's the guidance that we should be giving you at this point. We will be very actively on the risk management side, and that's what I can say by today. We will not comment on the legal courts or decisions or other companies that are having the same as well, at least cases with Venture Global. Thank you.
Operator: Our next question today comes from the line of Fernando Abril-Martorell from Alantra.
Fernando Abril-Martorell: A couple of questions, please. First, there is a slight improvement in the EBITDA to operating cash flow conversion. I understand partly driven by a more advantageous tax profile of Bacalhau. So could you clarify how long this more efficient tax structure is expected to last? And additionally, how do you plan to manage the 10% withholding tax on dividends in Brazil? It seems to have a limited impact on your guidance. And second on Moeve more strategically, if this transaction proceeds, you would effectively sell control of your industrial business and also controlling retail. So could you elaborate on a little bit on the strategic rationale behind this shift, I would say. And more broadly, would also selling control of renewables be a potential option over time for you?
Maria Joao Carioca: Thank you, Fernando. The taxation circumstances overall for Galp, and then I'll go into your question on the withholding tax in Brazil. So overall, we did see our cash taxes in '25 and our expectation for '26 is also a more beneficial one. I think this is the combined effect of a number of aspects. You touched upon one which is obviously, a core one, which is the fact that Bacalhau is -- first oil has occurred. So the taxation will be adjusted accordingly. We are still ramping up. But in any case, that gives us already some room to reap the fiscal benefits that are within the Brazilian law, and we will be accounting for those correspondingly. So if you combine that, and I'd say that, that is a dominating factor. If you combine that with our macro deck on exchange rates and if you take into consideration the relative weight of upstream, I think that gives you the full picture on what we're expecting in terms of cash taxes for 2026. The withholding tax for '26 in particular, we don't expect distributions to be significant. We had a good view, a good vision of the expected development of this tax. We'll see whether it is sustained and how the Brazilian authorities look through it. But for 2026, we were able to somehow anticipate in as much as possible what we could see in terms of impact and the minorities that we are expecting to -- the payment to minorities we're expecting in '26 is a relatively small one, I'd say, in the circa EUR 50 million. So with very limited impact in terms of our overall figures.
Joao Diogo da Silva: Fernando, about your second question on Moeve. So the governance is still -- is part of the negotiation process ongoing, as I told you, and we will be resuming by mid-2026. As you've mentioned, we are expecting -- well, we are expecting to have 2 independent companies in the retailco with call control, as you mentioned, but also in industrial with a significant minority stake. Of course, these 2 companies were -- well, at least thought as something that would strengthen our resilience in a precious sector with 2 completely different pure plays in each of the companies and fully funded and tailored capital allocation. So that's how we see it. It's still early to have final decision, and that's where we stand. On your question on renewables, as I've mentioned earlier in the call, we see renewables as an important part of our portfolio. For sure, we will be challenging ourselves if we are the best owners of these assets all the time, and we will not exclude opportunities to enhance this portfolio, making it more lean for a future movement. But that's something that we should be considering all the time. So naturally, we can consider partnerships in renewables as well, but no decisions have been taken at this point.
Operator: We will now take our final question for today. And the final question comes from the line of Biraj Borkhataria from RBC.
Biraj Borkhataria: Two, please. The first one is on Mozambique. There's a comment in your slides around not including that payment in your net CapEx guidance. And I know there's a dispute around capital gains tax there. So could you just help me understand the steps to resolve that issue as well as the timing around that? And then the second question is on the inorganic activity that you've budgeted around EUR 0.5 billion for inorganics. Based on your comments from the previous questions, it sounds like you're more focused on upstream deals. If I look at your portfolio, you're basically all oil projects at the moment and you've sold the LNG one. So is it safe to assume that you're focused on oil only? Or would you seek to diversify into gas?
Maria Joao Carioca: Thank you. So let me start with Mozambique. And if I understood correctly, but let me know if I didn't get it right. So you're going into the capital gains taxes as an update on where we stand with that conversation with Mozambican authorities. So it is an ongoing conversation. We are still very confident about the way we address the issue and that our claims will, in the end, be understood by local authorities. So all legal internal and both internal and external assessments continue to confirm that understanding. So in that sense, we see that this is a tax contingency that we don't consider necessary as all assessments continue to confirm our view. Now having said that, we're going to continue to engage with the government of Mozambique. We understand they have questions. We are addressing them. As you well know, there are steps that have been taken towards arbitration precisely to support this stage of sharing information and building a mutual understanding, and we hope that this will be resolved satisfactorily. I'll remind you that we remain in Mozambique. This is a geography that we've been present for decades, a geography that even though the gas project could not meet our requirements within the portfolio. still has a downstream presence that we would, of course, like to continue to see operate successfully. So on Mozambique, I would say that, that is the circumstances other than the fact that on the remaining part of that sale, so Area 4, the onshore component, we did not indeed include that in our CapEx guidance. For prudency, what we're hearing from the operator is still positioning towards making this happen towards the end of 2026. So Exxon continues to position that as their expectation. Still -- and given the relative size of our portfolio for prudency's sake, we did not consider that cash inflow. So if it does come, it will be an upside. And I guess that follows through. It's quite a segue into the second part of your question, right? So in terms of our inorganic CapEx, in the guidance that we've put out there, there is indeed -- I mean, if you just run the math quickly, that does give us kind of a EUR 500 million buffer, so to say, is -- and the way I stick our preference is fundamentally, we're trying to make sure that our portfolio stays as clear as possible towards our investment case. So right now, should there be available upstream assets, that would be our preference. And right now, our upstream portfolio is very much focused on oil. So gas is not an area where we are actively looking into opportunities. It's not -- I think you framed it as a preference. It's not in our preference at all right now. We will look should there anything particular come in the funnel, but it's not where we're directing our teams to, and it's not where we see our portfolio heading at this stage. So fundamentally, that's, I guess, what we would see in terms of direction in terms of inorganic CapEx. Should there be any other opportunities, we will always look at them with the same type of discipline and respect for what we've been trying to deliver in terms of the hurdle rates we consider and the ability to actually deliver value that we've seen in the past. But right now, where we see that being more consistent with our investment case is indeed in oil upstream.
Operator: This concludes the Q&A for today and today's conference call. Thank you for participating. You may now disconnect.